Operator: Thank you for standing by. This is the conference operator. Welcome to the K92 Mining 2024 Fourth Quarter and Annual Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference call is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to David Medilek, President and COO. Please go ahead.
David Medilek: Thank you operator, and thanks everyone for attending K92 Mining's 2024 fourth quarter results conference call. We hope you and your families are doing well. In addition to myself, we have on the line John Lewins, Chief Executive Officer and Director; and Justin Blanchet, Chief Financial Officer. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A and Slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in United States dollars unless otherwise noted. Now, I'll turn it over to John to provide you with an overview.
John Lewins: Thank you, David, and welcome, everyone. I'll start with safety, which is always the first priority. I'm pleased to report that there were no lost time injuries recorded in the fourth quarter, marking yet another major safety milestone with now six consecutive zero LTI quarters. During this time, two independent safety audits were completed. From those audits, a number of actions were identified and many actions have been taken and completed to-date. Safety technology on-site has been enhanced, including a proximity and collision avoidance system and in-cab monitoring with more systems planned in the future. Resources for safety and training have been and continue to be expanded, including additional personnel. There's also, been multiple positive leading indicators, as shown in the charts, for several consecutive quarters. There has now been a significant increase in job safety assessments to reinforce our safety-first mindset and the number of safety warnings from our in-cab monitoring system has significantly reduced. As stated on previous conference calls, we take the increased lost time injury frequency rate in 2023 very seriously, while also noting that historically K92 has operated with one of the best safety records in PNG and the broader Australasian region, as shown in the previous slide. I'd like to reiterate that K92 is relentless in its pursuit of our goal of achieving zero harm amongst our workforce. K92 is extremely pleased and proud to have received yet another industry ESG award during the PNG Investment Week conference in Sydney in December, this stand for Outstanding Community Humanitarian Initiative. The award recognizes K92's sustainable livelihoods agriculture program. It's a program that has rapidly grown with approximately 180 farmers participating, of which approximately 80% are women. This has enabled the communities to supply fresh produce not only to K92, but also to local vendors and markets, reaching as far as supermarkets in Fort Moresby. In early March of this year, the first large shipment consisting of eight tons of produce from farms arrived in Port Moresby, which is testament to the size scale and overall success of the program. We're currently in the process of working with international partners to upscale this program even further. K92 is extremely proud of the positive impact, we're having on the prosperity and development of Papua New Guinea and we encourage you to read our latest sustainability report found at www.k92mining.com. Moving on to operational performance. During the quarter the K92 gold mine delivered record quarterly production of 53,401 ounces gold equivalent. The total of 96,614 tons were processed at a head grade of 18 grams per ton gold equivalent, which was the highest head grade since Q4 2020 and well above budget. Benefiting from higher grade stops in the sequence as outlined in the 2024 operational guidance, increased proportion of high grade tonnage utilized for the processed plant blend in addition to a positive gold grade reconciliation versus the latest independent mineral resource estimate. Due to these higher grades and a lack of lower grade to blend with this material throughput was deliberately reduced to maximize recoveries. For the year, a record 149,515 ounces gold equivalent was produced delivering year-over-year production growth of 27% that significantly exceeded the top of our production guidance range of 120,000 to 140,000 ounces gold equivalent. In addition, cash costs of $664 per ounce beat the guidance range of $820 to $880 per ounce, and all-in-sustaining cost of 1,066 also beat the guidance range of 1,440 to 1,540 gold. As annotated on the chart, all-in-sustaining costs have been notably higher than cash costs since the beginning of 2023, due to K92's ongoing considerable investment in our Stage 3 expansion. With costs expected to decline significantly, after delivering the expansion, which will be discussed later in the presentation. Now in terms of their key operational quarterly physicals, total material mine was the second highest on record, with plant throughput as noted earlier significantly reduced to maximize recoveries due to the high head grades. This provided us with the opportunity in the underground mine to prioritize waste development for Stage 3 expansion, resulting in a record of 209,000 tons of waste mined. Development delivered a notable increase of 17% from Q3, including a monthly record set of 904 meters in the quarter. The development rates in Q4 are particularly encouraging as it was largely ahead of the various key enablers that are required to be integrated. These include the power upgrade, which was completed in Q4, and certainly was a factor for the improved quarter-over-quarter advance rates especially late in the quarter. The interim primary ventilation upgrade, which was actually only completed in January. Now, this has resulted in a 50% increase in airflow, which is notably higher than the 30% increase expected confirming that the modeled airflow resistance factors for the expansion were conservative. The second stage of the interim water upgrade, which was completed at the end of January providing clean water services to the main mine. Number of available headings also increased significantly and will continue to increase through the year driven by opening up of additional mining fronts. High Speed development experts a major focus is on the enhanced maintenance program to increase equipment availability. Now in 2024, the process plant delivered very strong performance, including daily, weekly and monthly records that were 12%, 31% and 45% respectively higher than the 600,000 tons per annum or 1,644 tons per day that the Stage 2A plant upgrade has been designed to achieve which was outlined in the definitive feasibility study. Recoveries have also been very strong with the last three quarters of 2024 recording gold recoveries notably higher and copper recoveries moderately higher than the DFS. Now this outperformance is driven by a trialing of a new reagent mix which was identified as part of the DFS metallurgical test work program and in addition we benefited from those higher gold grades in the second half of the year. Now the strong performance of the Stage 2A plant bodes well for the Stage 3 plant which has a more optimal circuit design, improved technology and instrumentation including online analysis. I think the throughput records also highlight the potential that the Stage 3 process plant which was designed on the same conservative throughput parameters as a Stage 2A process plant is much more capable than its 1.2 million tons per annum design. And as a result the Stage 3 process plant currently being built has been designed to make allowance to make it cost effectively expandable through simple upgrades to the flotation and filter press capacity to achieve 1.8 million tons per annum that we're looking for in Stage 4. I'll now turn over the call to our Chief Financial Officer, Justin Blanchet to discuss our financial results for the fourth quarter.
Justin Blanchet: Thank you, John and hello, everyone. During the fourth quarter of 2024, we had revenue of $120.3 million, an increase of 60% when comparing to 2023. We sold 48,851 gold ounces at an average selling price of $2,564 compared to 33,273 ounces at an average selling price of $1,898 in the prior year. As at December 31, 2024 there was 4,961 gold ounces in inventory including both concentrate and dore, an increase of 3,074 gold ounces when compared to September 30. During the year ended December 31, 2024 we had record annual revenue of $350.6 million, a 75% increase from the prior year. We sold a record 141,159 gold ounces at an average selling price of $2,356 compared to 97,355 ounces at an average selling price of $1,869 in the prior year. During the fourth quarter of 2024, our cost of sales was $32.6 million compared to $35.9 million in the prior year or $23.8 million compared to $24.9 million before non-cash items. Lower cost of sales was partially due to a build up of our or stockpile inventory and concentrate and dore inventory that was expense subsequent to year end. During the year ended December 31 2024 cost of sales was $142.2 million compared to $111.4 million in the prior year or $106.8 million compared to $77.7 million excluding non-cash items. Cost of sales is higher primarily due to lower costs capitalized as development costs higher depreciation and depletion costs as well as higher royalties due to increased sales when compared to 2023. Q4 2024 cash flow from operating activities before changes in working capital was $72 million, compared to $38.6 million in the prior year a new quarterly record. For the year, we also saw record cash flow from operating activities before changes in working capital of $170.4 million, compared to $82.1 million in 2023. As of December 31, 2024, we had $141.3 million in cash, cash equivalents and term deposits plus $20 million in restricted cash, which subsequent to year end became unrestricted, while still spending $102 million in expansion capital. At December 31, 2024 K92 had a working capital balance of $117 million and a loan outstanding balance of $60 million. As John mentioned, during the fourth quarter the K92 gold operations produced 51,371 ounces of gold 958,312 pounds of copper and 41,992 ounces of silver, or 53,401 gold ounces equivalent. We sold 48,851 ounces of gold 954,657 pounds of copper and 42,088 ounces of silver. During the year, the K92 gold operations produced 139,123 ounces of gold 4,926,738 pounds of copper and 142,009 ounces of silver, or 149,515 ounces of gold equivalent. We sold 141,159 ounces of gold, 551,087 pounds of copper and 145,428 ounces of silver. In Q4 2024, we incurred a cash cost of $483 and an all in sustaining cost of $837 per ounce of gold, which was significantly below our selling price of $2,564 per ounce. For the year, we incurred a cash cost of $664 and an all in sustaining cost of $1,066 per ounce of gold, which was also significantly below our selling price of $2,356 per ounce. Our 2024 cash cost per ounce of gold increased from $585 in the prior year to $664. The increase can be attributed to expenditures incurred during the temporary suspension in the first half of 2024 lower amounts of costs capitalized to development and lower amounts of by-product credits when compared to prior year. It is important to note that we will see downward pressure on costs via economies of scale as operations ramp up and the Stage 3 expansion is complete. I will now turn the call back to John to continue with the rest of the presentation.
John Lewins: Thank you, Justin. So for the exploration and growth section, we begin with an update on the Stage 3 and Stage 4 expansions, which plan to fundamentally transform K92 into a Tier 1 mid-tier producer through sequentially increasing production to over 300,000 ounces gold equivalent per annum with the commissioning of the Stage 3 expansion targeting the second half of the second quarter of 2025, and then, to over 400,000 ounces per annum gold equivalent with Stage 4 targeting, the second half of 2027. As at the end of February, 75% of Stage 3 and Stage 4 growth capital has either been spent or committed, with a significant portion of the project on a fixed price lump sum basis. Importantly, the project is fully funded and our financial position is strong. K92 is a strong cash balance, ending 2024 with $141 million in cash, plus $20 million of restricted cash and the restricted cash subsequently to the quarter end became unrestricted in January, and we'll report to our cash balance in our Q1 financials. We also have access to significant amounts of liquidity through an undrawn credit facility with $60 million available to draw down on demand and an additional $30 million of liquidity available through an accordion feature. The record gold price environment has resulted in strong free cash flow generation. As Justin noted, our net cash balance grew significantly during the second half of 2024, even after considerable capital expenditure during the period. And lastly, our commodity price downside is protected through the cost effective purchase of put option contracts. In late September, we purchased for $2.2 million option contracts for the next nine months, covering 12,500 ounces of gold per month at $2,400 per ounce to protect against downside price risk. To be clear, it's not a hedge. We sell at spot if it's higher, which it obviously has been. This is an insurance, and we retain full exposure to the upside in commodity prices. In summary, our financial position and outlook is obviously very strong. Now in January, we announced our 2025 operational guidance, outlining yet another year of production growth, forecasting 160,000 to 185,000 ounces gold equivalent production, while making significant investment in terms of both sustaining capital and growth capital as we transform K92 into a Tier 1 Mid-Tier producer. Production is expected to be back-end loaded again, driven this time by higher throughputs as the new Stage 3 Expansion process plant is commissioned, and then scheduled to be handed over to operations in Q4. Production in the second half of the year also benefits from stockpiling planned in Q2 ahead of the Stage 3 Expansion process plant coming online. Moving on to progress for the Stage 3 Expansion construction, and starting with the underground the twin incline is complete. The first ore pass has been developed and expected to be fully operational mid-year, Puma incline breakthrough is also planned for around mid-year. Upon the breakthrough of Puma, we expect an additional 50 cubic meters per second airflow with a further 50 cubic meters per second airflow forecast upon development of the next ventilation race, representing a 50% to 60% increase in airflows from current levels. I note that, we're drilling the pilot for the ventilation race right now. In terms of the previously conservatively modeled mine resistance factor which we've mentioned previously, we now expect to not need that new primary vent fans to meet our initial Stage 3 vent requirements. But these fans are needed for later Stage 3, Stage 4, and so our plans are to opportunistically install these in 2026 to minimize disruptions to production, which obviously we will have in installing them. On the cash flow commissioning is targeted to commence in Q4, after the process plant has been handed over to operations. And while the infrastructure is being transformed, so is our mining on a number of fronts with significant increases under way due to the ramp up. So we now move on to the drone footage taken just a few days ago with a construction site for the 1.2 million tons per annum Stage 3 expansion process plant. Staring at the dry end of the plant in the foreground, the ROM pad continues to be constructed with waste rock as it becomes available from underground. Work on the primary jaw crusher was well advanced. Thus far, the conveyor cable tray and the transformer have also been installed. So surge bin is approximately 95% complete. On the grinding circuit, preparation works are well underway for the installation of the ball and sack mills. The cyclone tower as you can see is installed, maintenance crane also installed and the installation of electricals under the MCC and mills is underway. Piping installation is also ongoing. For the flotation area, all works are active for structural, mechanical and piping installation and are approximately 95% complete. The installation of the flotation cell hoppers and pump installation is also ongoing. Pipe racks for water services are also being installed. In terms of the thickeners, the concentrate thickener is nearly complete and the tailing thickener is about 85% complete. Lastly water services are ongoing. All the pumps and piping have been installed. The electrical installation is in progress. I'm also pleased to report that all the civil works are complete. In terms of ancillary buildings and construction, pleased to report the warehouse construction is now complete as is the interim power plant. For the pastefill, all long lead items have been ordered. Front-end engineering design work is completed. Detailed engineering and design contracts have been awarded to GR Engineering and Quattro Engineering and early earthworks are underway. Underground construction contract has been self-awarded and the construction contracts for the tailings filter plant, the surface storage system are planned to be awarded later this quarter early Q2. I note in early February, we were pleased to have hosted the Governor of Morobe province, one of our two key provinces, the Honorable Luther Wangi. It was his first time visiting the K92 gold mine, also his first time visiting an underground mine. We're delighted to have taken him on a tour of the underground mine process plant as well as the Stage 3 construction sites and also our various exploration sites via helicopter. The visit received significant positive coverage by local media including a significant TV coverage. Now in terms of exploration, we're currently drilling the Kora-Kora South, Judd-Judd South vein systems from underground plus the Arakompa vein system from surface. We've just completed a program of drilling Kora South, Judd South from surface this month. On the 3 of December, K92 reported a total of 95 holes at Kora-Kora South, Judd-Judd South. These results continue to demonstrate that this is a world class deposit with significant growth upside. The results announced multiple new near mine infrastructure dilatant zones in the twin incline mining front, as outlined by the two blue dash lines inside the lower black ellipse there, in addition to extending the high grade zones as shown in the upper black ellipse. The discovery of the new dilatant zone near mine infrastructure, it's particularly significant, as it represents the first time that a dilatant zone has been drilled off with sufficient drill density. Prior dilatant zones discovered have been largely through wider spaced surface drilling. What these particular dilatant zones show us is, that there is significant strike length potential of these zones with K2 recording over 100 meters of strike and K1 recording approximately 60 meters of strike. These dilatant zones are approximately 175 meters from our underground workings, and upon completion of the pastefill plant, we'll be in a position to unlock this high productivity potential of these zones for the expansion. Now at Judd, results continue to extend high grade mineralization uptick and above the main mine workings, as shown in the top black ellipse there. In addition to recording multiple high grade results outside of the current resource. On February 20, we announced the latest 13 holes at Arakompa bringing the total number of holes drilled in the maiden drill program to 43 holes. A major highlight from the results, is the confirmation of two significant high grade veins over a significant strike length named AR1 and AR2. Based on drilling to date, both veins are thick recording average true thickness for AR1 of 3.14 meters and 2.94 for AR2, over strike lengths of approximately 675 meters and 775 meters, respectively. With a strong high-grade drilling hit rates plus 5 gram per ton gold equivalent of 50% for AR1, 42% for AR2 and a plus 10 gram per ton gold equivalent 28% for AR1, 21% for AR2. We clearly, see high potential for underground mining of high grade vein system at Arakompa. The drilling results also extended the interpreted bulk tonnage zone approximately 150 meters to the south. The zone is now defined as 900 meters along strike and to a vertical depth of approximately 650 meters, with an average true thickness recorded from drilling of around 48 meters, demonstrating strong bulk mining potential. The bulk zone remains open in multiple directions, and we view it as a longer dated project with the high grade the priority in the near term. It's important, I think, to illustrate just how rapidly Arakompa is growing. The far left image is from February 2024, and our latest drilling results are shown on the far right, approximately one year later. When we commenced drilling at Arakompa, we had one rig operating, but given the significant exploration success to date, we've had up to four rigs operating with plans to continue to increase upon this delivery of additional rigs, in addition to commencing exploration at Maniape, a parallel Vein system less than a kilometer away later this year. Importantly, only approximately 50% of the non-mineralization strike length of this corridor has been drill tested by K92 to date and that's the known mineralized strike length. I think lastly, we'd like to highlight the significant pipeline of highly prospective exploration targets, which we have around the K92 mine. The colored icons indicate where we're currently drilling. The black icons indicate, where we plan to drill in the next 24 months. Upon delivery of the Stage 3 expansion, we expect not only a major inflection in our production and free cash flow, but also a significant ramp up in our exploration budget aiming to target many of these highly prospective targets concurrently. And with that, operator, we'd like to commence the Q&A session. Thank you.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] The first question comes from Alex Terentiew with Ventum Financial. Please go ahead.
Alex Terentiew: Yeah, hi guys. First of all, I just wanted to say congrats on finishing the year very strong, like to see those numbers. First question here, outlook for 2025. I know we're two months in, I'm just curious if any insights as to how things are tracking so far and maybe more in particular, any thoughts or comments you can share on grade and tonnage expectations? And I'm asking just considering how strong the second half of the year was where your grades were up quite a bit and your throughput was dialed back. So especially for the first half of this year, if you have any insights you can share that'd be great.
John Lewins: Okay, thanks Alex. In terms of the outlook for 2025, obviously, we've given our guidance and we're -- that's our numbers at this point in time. It is a relatively wide guidance because we are obviously commissioning our Stage 3 and as was said in the presentation, the expectation is certainly that unlike previous years where the back end loading has been grade driven in this instance, we believe that the back end will be more tonnage driven as we bring Stage 3 plant into full production in the fourth quarter. I think in the context of the first quarter, what we have said is that, we have seen a continuation of the higher grade that we saw in the fourth quarter. And so there is certainly an expectation that the first quarter will probably be the highest grade for the year with some of that higher grade obviously coming through during the quarter. So certainly, we do expect basically the all quarters are going to be pushing up from where they have been in the past and certainly the first quarter will see a similar sort of thing where we do expect it to be strong in comparison to previous first quarters.
Alex Terentiew: Okay. It's good. Thanks for that. Second question, you noted on the call earlier, building up a stockpile ahead of the mill starting up later in Q2. Any color you can give on the size of that inventory that you want to build and how you're tracking on that target and then it gets kind of a related question. Any -- I know you got two separate mills, the current one and the new one that you're building, but should we expect any sort of downtime as you make that transition or are you going to try to kind of keep things continuously operating?
John Lewins: Okay. So first of all, in terms of stockpile, the intent is to focus on opening up underground and not necessarily bringing too much to surface because we do get oxidation if material sits too long on the surface, we're okay for a couple of months. But longer than that, you can see oxidation, which is variable depending where it comes from and how much sulfides you've got in it and what have you and how fine they are. The expectation in terms of stockpile by the end of the second quarter, we're certainly looking for somewhere between, I think, 10,000 and about 20,000 on the ground. And sorry, what was the second part of that question?
Alex Terentiew: I was just curious how you guys are tracking so far. But like you said, if you're focusing on building up the -- opening up stopes underground, then maybe.
John Lewins: Oh, sorry, yeah, the second one was the plant. Okay. So the intent is to continue running the old plant through until some point in the fourth quarter so that the existing plant continues to run normally certainly during the third quarter while we're going through the commissioning process for the new plant. And at some point during that fourth quarter, we'll switch off the old plant, and we'll be running only the new plant. Now in order to be able to do that, we have recruited additional people. That includes, I think we took almost the entire graduates from the University of Lay that came out end of last year, beginning of this year. All the metallurgical graduates I've got a year with us. I mean we take some every year, but we basically -- yes, we've taken more than the entire rest of the industry. And basically, every single graduate, I think, who qualified this at the end of last year has got a job but the vast majority of them are with us. So we have built up the numbers so that we can do that and then also that they can be involved in that setup optimization of the new plant going forward.
Alex Terentiew: Okay. That's it for me. Thank you.
Operator: [Operator Instructions] This concludes the question-and-answer session. I would like to turn the conference back over to John Lewins for any closing remarks.
John Lewins: Thanks, Drew. Well, I mean, obviously, we have been exceedingly pleased with the second half of the year. The numbers I think, reflected and confirmed our confidence in the ability of the mine to deliver even though we had a hiccup at the first -- during the first half of the year. To be clear, though, the better than guidance performance was driven by primarily higher grades coming out of a primarily Judd, and we got about 20% more grade I think out of those stops than we anticipated. So probably close to 10,000 answers that came out in Q4 came from a higher than anticipated grade, and for clarity we don't expect that suddenly the mine will start producing 20% more gold than the mineral resource estimate says it will. It was a specific area within Judd and certainly something we'll look at when we do the next update in the mineral resource estimate for Judd and Kora next year. Also importantly was the significant increase we saw in recoveries where we kicked up to 95%, 96% and in fact beyond there in certain circumstances. And while that was certainly partly driven by grade it was also as mentioned the new suite. And so that probably added 2,000 answers to the second half of the year, which is substantial when you consider that there's no cost associated with that that's simply getting more out of what you've mind. That bodes really well for the new plant when you consider that the new plant is, obviously, it's got far more technology. There's more process control and of course it's got online analysis so that you're getting results and able to more effectively control the plant itself. So certainly it bodes well for the future and we certainly anticipate at this point in time we'll see better recoveries than we've allowed in the study, which I think are running at about 92.94% for gold. We certainly expect to see better than that from the plant going forward, which should see an improvement in the numbers that come out of the Stage 3 and Stage 4 expansion. We've set ourselves up well for what is our most transformative year-to-date where we bring in our Stage 3 expansion with the start of commissioning of that around mid-year. We're in an extremely strong position in terms of our finances and that is a position, which quite frankly with the gold price where it's at in our increasing production is only improving as we go forward. So this is a really exciting year I think for K92. Our people are very excited at the opportunities there, the exploration people with all the work that they've got ahead of them and the potential to increase expenditure year-on-year over the next few years and really put a lot of work into increasing our resources outside of Judd and Kora. So exciting year. We’ll look forward to having another call in about three months' time where hopefully we can give equally impressive numbers for the first quarter. Thank you everyone for your time today and yeah let's see the gold price go beyond $3,000 and be good for all of us. Thanks very much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.